Operator: Hello, ladies and gentlemen, and thank you for standing by. Welcome to Esperion's Third Quarter 2025 Financial Results. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to Alina Venezia, Head of Investor Relations for Esperion Therapeutics. Please go ahead.
Alina Venezia: Thank you, operator. Good morning, and welcome to Esperion's Third Quarter 2025 Earnings Conference Call. With us on today's call are Sheldon Koenig, President and CEO; and Ben Halladay, CFO. Other members of the executive team will be available for Q&A following our prepared remarks. We issued a press release earlier this morning detailing the content of today's call. A copy can be found on the Investor page of our website, together with a copy of the presentation that we will also be referencing. I want to remind callers that the information discussed on the call today is covered under the safe harbor provisions of the Private Securities Litigation Reform Act. I caution listeners that management will be making forward-looking statements. Actual results could differ materially from those stated or implied by our forward-looking statements due to the risks and uncertainties associated with the business. These forward-looking statements are qualified in their entirety by the cautionary statements contained in today's press release and in our SEC filings. The content of this conference call contains time-sensitive information that is accurate only as of the date of this live broadcast, November 6, 2025. We undertake no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this conference call and webcast. As a reminder, this conference call and webcast are being recorded and archived. We will begin the call with prepared remarks and then open up the line for your questions. I'll now turn the call over to Sheldon.
Sheldon Koenig: Thank you, Alina. Good morning, everyone, and thank you for joining us. Once again, we are very pleased to be reporting another strong quarter. Total revenue for the third quarter 2025 grew 69% year-over-year to $87.3 million. Looking at our strong U.S. performance, we saw nearly double-digit sequential quarterly prescription growth with U.S. net product revenue growing 31% year-over-year to $40.7 million. During the third quarter, we continued to lay the groundwork for the future by investing in enhanced patient access programs that are intended to drive prescription growth and revenue in the months and years ahead. While this impacted sequential growth this quarter, these were important onetime costs that we are confident will provide significant return on investment. That said, this was also our strongest third quarter of record, a particularly meaningful achievement given that this period has historically delivered more modest growth due to summer months and both patient and physician vacations. This outstanding performance reflects the strength of our execution and the growing recognition of bempedoic acid as a differentiated treatment for patients, especially those who cannot tolerate statins. Our commercial strategy is resonating. Prescriber engagement is up. Patient access is expanding and our creative campaigns are winning industry recognition. In addition to our commercial momentum, we made important strategic progress this quarter. We finalized agreements with 4 generic manufacturers, including Dr. Reddy's, not to market generic versions of NEXLETOL and NEXLIZET prior to April 2040, which supports the long-term value for our blockbuster franchise. We also saw our bempedoic acid products included in the ESC/EAS guidelines, a significant validation of their clinical benefit and a strong signal for expanded use. We expect similar inclusion in U.S. guidelines in early 2026, further reinforcing our leadership in cardiovascular risk reduction in both primary and secondary prevention for patients who need alternatives to statins. Turning to our progress in the U.S. market. During the third quarter, we outpaced the broader adjunct lipid-lowering market, delivering growth that exceeded all other non-statin products in the category, including branded products. This momentum reflects both the clinical relevance of our bempedoic acid products and the effectiveness of our winning commercial strategy. I want to take a moment to recognize the outstanding work of our commercial team. From sales and marketing to reimbursement and market access, their execution has been nothing short of exceptional, a textbook example of what commercial excellence looks like in our industry. Our continued growth is a direct result of making smart strategic choices, striking the right balance between in-person and digital engagement, investing in top-tier talent and high-impact programs and delivering bold award-winning marketing campaigns that resonate with our audience. Their dedication and agility have been instrumental in driving performance and positioning us for sustained growth. In further support of these achievements, we are excited to welcome John Harlow to our team as Chief Commercial Officer effective November 17. John joins us with more than 2 decades of experience building and scaling commercial organizations across both large and emerging pharmaceutical companies. Most recently, he was Chief Commercial Officer at Melinta Therapeutics, where he led a team of 80 professionals across all commercial functions, where he nearly doubled revenue, delivering approximately 85% growth in 2024 from 2020. His proven ability to drive performance and inspire teams will be invaluable as we expand our reach, scale our operations and unlock the full potential of our portfolio. Turning now to our commercial progress. Last quarter, we launched several strategic marketing initiatives, including a targeted campaign aimed at patients who are statin intolerant, a population that represents a significant unmet need. Our research indicates that nearly 50% of individuals who begin statin therapy either discontinued treatment or had over a 6-month gap in therapy within 2 years. This gap leaves many patients vulnerable to cardiovascular events and presents a substantial market opportunity for NEXLETOL and NEXLIZET. To address this, we introduced our "Can’t take a statin? Make NEXLIZET happen!”" campaign. This initiative has already begun to elevate brand awareness among our key demographics with health care professionals reporting a significant increase in their prescription -- their perception of rating of NEXLETOL and NEXLIZET for statin-intolerant patients based on quantitative data. These findings further support the transition from awareness to use and the impact of our powerful marketing. On September 22, we launched a pilot promotional ads on connected TV platforms such as Hulu and Disney+. Building on that momentum, we began airing branded commercials during Grey's Anatomy on Disney+ and Hulu starting October 10. These ads feature our award-winning lipid lurkers and are designed to spotlight the issue of statin intolerance while positioning NEXLETOL and NEXLIZET as compelling alternatives. We anticipate these commercials will generate approximately 18 million impressions, specifically targeting adults over the age of 50 who have a history of statin use, but have not been on therapy for at least a year. As of mid-October, we have already had greater than 6 million views of the full length of the commercial. We remain deeply committed to expanding the reach of these successful programs and are confident in their continued contribution to our growth trajectory. In addition to driving demand for our bempedoic acid products, we have made meaningful progress improving the access environment for patients and physicians alike. In the third quarter, we achieved an 87% average approval rate for Medicare coverage with out-of-pocket costs of $29 for a 30-day supply compared to $64 for a 30-day supply in the first quarter of 2025. In the third quarter, we averaged an 86% approval rate for commercial coverage with an out-of-pocket cost of $36 for a 30-day supply compared to $55 for the first quarter of 2025. In addition, the benefits of these co-pay programs have improved patients fulfilling their prescriptions by 17%. These are meaningful cost reductions that underscore the growing payer confidence in our therapies and the fact that patient access for NEXLETOL and NEXLIZET has never been easier. Importantly, we added an enhanced coverage with 2 major Medicare providers beginning October 1. While this coverage required near-term investment, we believe it will drive volume into the future that will more than compensate for these onetime costs. We now have greater than 90% of commercial lives and more than 80% of Medicare beneficiaries covered with all national commercial and Medicare payers covering all indications. This combined progress, including expanded payer coverage, reduced prior authorization barriers, enhanced reimbursement support resources and our balanced approach to direct and digital marketing resulted in a 9% increase in total retail prescription equivalents from Q2 2025 and a 7% increase in the number of health care professionals prescribing NEXLETOL and NEXLIZET, bringing our total prescriber base to more than 30,000 health care practitioners. This growth validates the rising confidence among clinicians and the expanding role our therapies are playing in addressing the unmet needs of statin-intolerant patients. The combined strength of our statin intolerance campaign, improving payer dynamics and the continued success of our Lipid Lurkers campaigns position us well for sustained momentum in the quarters ahead. A very important advancement during the third quarter was the inclusion of bempedoic acid as a Class 1 Level A recommendation in the 2025 ESC/EAS guidelines. This endorsement by Europe's leading cardiovascular societies validates the clinical impact of our therapy for patients unable to tolerate statins and reinforces our commitment to expanding access to innovative lipid-lowering solutions. As I noted earlier, we believe this recognition will be reflected similarly in the forthcoming U.S. guidelines expected in Q1 2026. In preparation, we are laying the foundation to leverage this growth opportunity by increasing patient support programs, market access contract activation, engagement with integrated delivery networks and direct-to-consumer initiatives such as our connected TV campaign. Turning now to the progress we are making through our international partners around the world, where we continue to see significant growth in both geographic expansion and in-licensing product sales. Let's start with Europe, where our partner, Daiichi Sankyo Europe continues to deliver robust revenue growth and expand market share for both NILEMDO and NUSTENDI. We expect the recent inclusion of ESC/EAS guidelines to support its expanded utilization across the 30 countries of the European Union, where Daiichi Sankyo Europe already has in excess of 600,000 patients who have been treated with our therapies in Europe. DSE also expanded their geographic reach with the launch of NILEMDO in Denmark, Sweden and Finland. Third quarter royalty revenue from DSE increased 21% sequentially to $16.4 million compared with the second quarter of 2025. In August 2025, DSE announced the development of oral triple combination liquid-lowering tablets with the Santorini study simulation showing improved LDL-C goal attainment aligned with the 2025 ESC/EAS guidelines. We continue to make progress advancing multiple processes for the technology transfer for manufacturing of NILEMDO and NUSTENDI to DSE with expectations for DSE to ramp up beginning in early 2026, and with certain working capital benefits expected in 2025. In September, we are delighted to report that our Japanese partner, Otsuka Pharmaceutical, received marketing approval from the Japanese Ministry of Health, Labour and Welfare for NEXLETOL as a treatment for hypercholesterolemia and familial hypercholesterolemia. Most recently, Otsuka received favorable preliminary pricing approval from the National Health Insurance in Japan, which will trigger significant milestone payments from Otsuka upon final pricing approval. This favorable pricing is particularly encouraging as the Japanese market is the world's third largest cardiovascular prevention market, and the royalties on Japanese product sales will be a meaningful revenue contributor over time. We are also expanding our international reach in a variety of other regional markets where cumulatively, we are building meaningful revenue streams through commercial partnerships. Our Canadian partner, HLS Therapeutics, has already filed new drug submissions to Health Canada for NEXLETOL and NEXLIZET and are on track for market approval by year-end 2025. Our partner in Israel, Neopharm Israel, also expects market approval of NEXLETOL and NEXLIZET by year-end 2025. CSL Seqirus, our partner in Australia and New Zealand, filed a marketing submission for NEXLETOL and NEXLIZET in July and expects to receive market approval in the fourth quarter of 2026. The progress with these international partnerships is expected to deliver a steady cadence of approvals and product launches over the coming months and year that will provide a growing royalty stream and a few potential milestone payments, all of which support our strategic focus to drive revenue growth and profitability. Turning to our pipeline, where our strategy is to expand into high-need, high-value indications that highlight the broader potential of our novel ACLY biology beyond cardiovascular disease. Here, we were excited to nominate ESP-2001, our highly specific ACLY inhibitor as our first preclinical development candidate for the treatment of primary sclerosing cholangitis, or PSC. With this candidate selection, we will begin IND-enabling studies with a goal to file an IND with the FDA to initiate first-in-human clinical studies in 2026. PSC is a devastating condition with no approved treatment, and our preclinical data suggests ESP-2001 has the potential to meaningfully impact disease progression. We're proud to advance a candidate that reflects the capabilities of our next-generation ACLY inhibitor program and our commitment to addressing areas of high unmet need. With that overview of the business, let me turn the call over to Ben for a detailed review of our financial progress during the third quarter. Ben?
Benjamin Halladay: Thank you, Sheldon. Good morning, everyone, and thank you for joining us today. Our third quarter 2025 financial results can be found in the press release we issued this morning, and more detail will be included in our upcoming 10-Q. Second (sic) [ Third ] quarter 2025 total revenue was $87.3 million, an increase of 69%. U.S. net product revenue was $40.7 million compared to $31.1 million for the comparable period in 2024, an increase of 31%. Collaboration revenue was $46.7 million compared to $20.5 million for the comparable period in 2024, an increase of approximately 128%, driven by increases in royalty sales within our partner territories and product sales to our collaboration partners from our supply agreement. Turning to the rest of the P&L. For the second (sic) [ Third ] quarter of 2025, research and development expenses were $14.1 million compared to $10.4 million for the comparable period in 2024, an increase of 36%. Selling, general and administrative expenses were $41.8 million compared to $40 million for the comparable period in 2024, an increase of 5%. The increase quarter-over-quarter was primarily related to the increased legal costs associated with the ANDA litigation and increased media costs. We are extremely pleased with our third quarter developments and are planning the business differently with a focus on laying the groundwork to significantly increase our sales and marketing efforts to accelerate our revenue growth as we prepare to introduce our Vision 2040. During the quarter, we made meaningful progress to extend our IP runway and now anticipate inclusion in the U.S. guideline recommendations in the first quarter of 2026, which provides substantial opportunity to solidify our position as a premier therapy and build on our blockbuster franchise. In October, we closed on a $75 million follow-on equity offering, which provided net proceeds of approximately $72.6 million. This equity offering was not a result of any changes in our liquidity outlook, but rather a strategic decision to ensure the company is well capitalized in order to make the most of these developments. We are reiterating our full year 2025 operating expense guidance, which is expected to be approximately $215 million to $235 million, including $15 million in noncash expenses related to stock compensation. With that, I will now turn the call back over to Sheldon for closing remarks. Sheldon?
Sheldon Koenig: In closing, thank you, Ben. This was a quarter defined by strong execution, strategic progress and growing momentum across every facet of our business. From commercial performance and market access to international expansion and pipeline advancement, we are laying the groundwork for our future growth and delivering on our mission to transform cardiovascular preventative care for patients. We remain focused, energized and confident in our ability to drive sustained growth and long-term shareholder value. We look forward to a strong fourth quarter and to introduce our Vision 2040 in the new year. Thank you for your continued support and belief in our vision. We look forward to updating you on our progress in the quarters ahead. Operator, we are now ready to open the call for questions.
Operator: [Operator Instructions] And our first question comes from Jessica Fye of JPMorgan.
Unknown Analyst: This is on [indiscernible] for Jess. Just one question from us. What were the drivers behind the gross margins for this quarter? And how can we expect this to progress moving forward?
Benjamin Halladay: Yes. Thanks for the question. So the gross margin drivers were the same dynamic we've seen in previous quarters, right? We have low-margin tablet sales to our partners. And the margin that you see is really reiterates the importance of the tech transfer and moving that manufacturing off of our books, which we still expect to complete by the end of the year and early into next year. So going forward, I would expect the gross margins to get better over the course of 2026 and be much more in line with where you would expect a pharmaceutical company of this type to be.
Operator: And our next question comes from [ Dennis Ding ] of Jefferies.
Georgia Bank: This is Georgia Bank on for Dennis Ding. Can you comment a bit more on achieving sustainable profitability in Q1 of 2026? And should this include any incoming milestones?
Benjamin Halladay: So I'll start with the second half. We don't include milestones when we mention profitability. We -- I think last quarter mentioned a lot about sustainable ongoing profitability, and that's where our sort of mantra headset is. When we look at how we're tracking towards some of the statements you made before, candidly, we're tracking right in line with the forecast and outlook that we had used to make those statements. So we are still confident in achieving profitability. I think when you look at some of the expenses incurred in Q3, a lot of them were onetime or nonrecurring, which drove down some of that net income number. And again, we would not expect those to repeat next year, which may affected Q3, but does not affect our outlook on the company.
Operator: And our next question comes from Jason Zemansky of Bank of America.
Jason Zemansky: On the progress. Just a question in terms of reimbursement per script. It looks like you said scripts were up 9% quarter-over-quarter, but U.S. revenues were fairly flat. Was there a onetime hit here? Sorry, if I missed it? And I guess, what does it mean moving forward in terms of reimbursement there?
Sheldon Koenig: Thank you, Jason. First of all, again, I want to emphasize and you picked it up, our reimbursement rate is -- first of all, is increasing, and it's really due to the strong coverage that we have in both commercial and the Medicare side of the business. There were onetime hits. We actually -- and we mentioned this in our prepared remarks, -- we really want to set that stage for future growth of the organization. And even thinking about the ANDA filing wins, et cetera, we've been talking about how we're planning to 2040 and hence, why we mentioned this Vision 2040, which we'll talk about more in the next couple of months and so forth. But the onetime hits where we actually made some investments with 2 of our larger Medicare plans to get more preferred access, which began on October 1, but we have to do some accounting to account for those adjustments starting in the third quarter. And we decided to do that for the benefit and the future of growth. The other thing that we did is we also introduced a new e-voucher for our 90 count prescriptions. And what we saw there is when we initiated that program, we have seen less abandonment from patients. And basically, what it did is it provided equilibrium on the co-pay amount, whether it's a 30-day fill or a 90-day fill. And that was very important for us. So these were onetime commitments that we've made. And what's really interesting, I'll just put this out here right now. If you look at where we are in the fourth quarter on a like-for-like basis compared to this time last quarter, we're already seeing our gross sales increase by about 30%. So these things are already paying off for us, and we're happy we made these decisions for the future. Thank you.
Operator: And our next question comes from Kristen Kluska of Cantor Fitzgerald.
Kristen Kluska: I know it's early days, so this isn't going to be reflected in the revenues. But now that the ESC guidelines have been changed for a little bit over 2 months, I'm curious if your partner has given any feedback about the level of incoming requests that they've gotten or how their reps dialogue has changed and the reception since that's occurred. And just trying to also understand again how this is going to really help give you a preview of what could come in the U.S. early next year.
Sheldon Koenig: Yes. Thank you, Kristen. So actually, I just spoke to the CEO of Daiichi Sankyo in Europe. And I was saying this on the call yesterday. I don't know if this is the most professional thing to say, but it's not often that he's very -- German and he said, we are over the moon. This is a very U.S. expression. We are over the moon by the excitement that we've seen with physicians, key opinion leaders, et cetera, related to the guidelines, and they see it as already being very, very meaningful. He actually showed me some of the early trends. And to your point, it is early in some of their leading countries where they continue to show these positive inflections and it's only going to get better because of the guidelines. The guidelines really came across as representing bempedoic acid as a foundational therapy. And as what we've mentioned before, the way the guidelines were presented at ESC, they specifically said they added bempedoic acid based on 2 items, and that is practice-changing and compelling data, which is a result of the CLEAR Outcomes study. We think that's a great indicator for what we're going to see here in the U.S. for our guidelines. As a matter of fact, our U.S. representatives have an approved piece where they're educating physicians on the EU guidelines because maybe many U.S. physicians, especially cardiologists, they look at EU guidelines because they have a goal of 55 milligrams per deciliter for high-risk patients. So it's a great lead-in for us of when the U.S. guidelines come out, which we think is going to be early first quarter, and they're going to use the meeting at ACC as a training ground. So again, some of these onetime investments that we've made, that's why we made them to set us up for that longer sustained pathway of growth.
Kristen Kluska: Okay. And then just as it comes to Otsuka and the opportunity in Japan, now that there's preliminary pricing, what's really the next step for them with the authorities there? And then what is your expectation on the timing of when this could occur?
Benjamin Halladay: Yes. So with Otsuka, we -- to your point, we received preliminary pricing and that preliminary pricing, I will know we are very, very happy with it. It's fantastic. It's a great outcome for us. The next steps for them is they're waiting for final pricing and then shortly after the final pricing is when they will launch. And that launch will come, I would say, just a few days after the final approved pricing. We would expect all of that to happen probably in the next 2 to 3 weeks, just pending sort of administrative paperwork on their end. And then from there, it's off to the races for them. As Sheldon mentioned, this is the third largest lipid market in the world. And it's really just this regulatory hurdle is the last step for them to start getting out there and selling this product.
Sheldon Koenig: I would just add, we're excited personally because Ben and I will be heading out to Tokyo later this year to celebrate with them and help them and observe the launch. So it's really exciting.
Operator: And our next question comes from Paul Choi of Goldman Sachs.
Kyuwon Choi: I want to maybe just ask on what you're seeing with regard to 340B utilization of NEXLETOL and NEXLIZET and how you're thinking about that dynamic potentially evolving in 2026? And my second question is just with regard to the pipeline and PSC. I know you guys are still working on IND filing, but just how do you think about the number of centers? And just if you had to sort of put some bookends around what enrollment timing might look like? Any clarity there would be helpful.
Benjamin Halladay: Thanks, Paul. Good to hear from you. So on the 340B side, honestly, it's a miniscule unnoticeable portion of the business. And so as far as the dynamics going forward is it would have a non-impact on our outlook or on our revenues. It's not a factor in how we operate.
Sheldon Koenig: Thanks, Ben. Paul, regarding PSC, first of all, again, we're super excited about announcing ESP-2001. Just a little color. We actually were at a patient support group that they have. PSC did a symposium in Denver, where we were the highlighted company to speak about this potential drug for patients who they just need something with such an unmet need. And we've talked many times about how our drug is very differentiated, et cetera. As it relates to the amount of centers that we will need, we're still in the planning phase for that. I can tell you right now, we're planning to meet with the FDA just to think about also what are the necessary endpoints, et cetera. So we're in that preliminary aspect. We just had a Board meeting. We went over that plan actually yesterday. So we'll continue to update you and others where we are, but we're trying to move this as quickly as possible because there is such an unmet need. And again, with ESP-2001, we have a drug that not only treats symptoms, et cetera, but repairs injury. And I think that's what's so most important. If we can prolong or even eliminate the fact for a patient to receive a liver transplantation, that's transformational in this disease. So stay tuned, and we'll be giving more information as we continue to receive it ourselves.
Operator: And our next question comes from Serge Belanger of Needham.
Serge Belanger: First question regarding the prescriber base. I think you continue to expand it. It was up 7% this quarter. What's the split between specialists and primary care physicians? And as you keep adding, is that -- are those proportions changing towards one side or another? And then a couple of quick ones for Ben. Any updates on the DSE manufacturing process? And should we expect guidance for 2026?
Sheldon Koenig: Serge, thanks for the question. I'll answer your first, turn it over to Ben for the second. So it's pretty steady right now as it relates to the segmentation, if you will, of prescribers. It's 60%, 6-0, primary care and about 40% cardiologists with a very small sliver of endocrinologists. That's exactly where we would have expected it. Even if you go back to the old days and you look at Zetia, now ezetimibe as an analog, a program I managed for a number of years, it was 60% primary care physicians, 40% cardiologists. And again, that's where the real opportunity is with these primary care physicians. The one other thing I'll just say before I turn it over to Ben, what really resonates with primary care physicians as well is our messaging related to primary prevention. And this is something that they're very interested in. And it's combine that with our statin intolerance strategy, it's really been gaining traction, as we mentioned in our prepared remarks.
Benjamin Halladay: Yes. So on the tech transfer, it's progressing nicely. We expect that manufacturing to ramp up early next year. And I think I said earlier, I would expect gross margin to dramatically improve over the course of 2026 to be in line with where you'd expect a small molecule oral medication to be. That will -- it won't be an overnight flip, but I do think it will get better and better. We are starting to see some of the working capital benefits associated with it now and into next year. And so we're looking forward to the benefits of that tech transfer. On guidance, we haven't made formal decision or announced anything as of yet. I think we're still batting that around internally. So we'll see is the answer there.
Operator: And our next question comes from Joe Pantginis of H.C. Wainwright.
Sara Nik: This is Sara on for Joe. Kind of just wanted to follow up a bit on the prescription momentum. You guys have been seeing consistently double-digit script growth. I just wanted to get some maybe granularity on what you're seeing in the field right now that kind of gives you the confidence that the momentum will continue into the new year, especially with that January deductible reset that's historically been a headwind.
Sheldon Koenig: Yes. Great. Thank you. So what we're hearing from the field and just to add some color, we actually do business reviews every Friday with all of our field managers. And I think the feedback that we hear the most that really gives us confidence is the fact that I've been doing in this business for 30-some years, and it's the first time that I'm never hearing that it's hard to get the drug. The reimbursement is just so pristine that it's not difficult to get the drug. The message is easy. Talking to a physician and talking to them about the fact that, hey, doctor, if you have a patient who can't take a statin or can only take a low dose of a statin, you have an option now, an oral therapy with NEXLIZET or NEXLETOL. And that's really what's given us confidence. We also have these attribute trackers that we do. So we're able to do market research that also gives us qualitative feedback that points to why physicians will write more and will continue to write more. And Lisa, I don't know if you want to add anything else. But -- we have Lisa Schafer, who heads up our marketing group also here.
Lisa Schafer: Yes. The other thing that I would add is just around the ESC guidelines. So that is something that the cardiologists are really receptive to with the Level 1A recommendation and that will continue into next year because the guidelines for the U.S. will come out. So we have a lot of great tailwinds coming into fourth quarter and definitely expect it to continue next year in 1Q.
Operator: I'm showing no further questions at this time. I'd like to turn it back to Sheldon Koenig for closing remarks.
Sheldon Koenig: We're all doing the slides today, folks. So in closing, this was a -- thank you. It was a quarter defined by strong execution, strategic progress and growing momentum across every facet of our business. From commercial performance and market access to international expansion and pipeline advancement, we are laying the groundwork for our future growth and delivering on our mission to transform cardiovascular prevention for patients. I want to remind everyone that next week on November 11 at 2:00 p.m. Eastern Time, we'll be hosting a virtual key opinion leader event on the role of bempedoic acid for the treatment of statin-intolerant patients that will feature discussion with a number of lipidology experts. We hope you can join us for that, what we expect will be an interesting and very informative event. We're also looking forward to participating in a number of upcoming conferences, including Jefferies London and the Piper Sandler Healthcare Conferences, where we hope to have the opportunity to connect with many of you then. In the meantime, if you have any questions or would like to have a call with the team, just reach out to our Head of Investor Relations, Alina Venezia, and have a great day. Thank you so much.
Operator: This concludes today's conference call. Thank you for participating, and you may now disconnect.